Operator: Ladies and gentlemen, thank you for standing by. My name is Sylvia and I am your event operator today. I would like to welcome everyone to today's conference, Public Service Enterprise Group Third Quarter 2020 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session for members of the financial community.  As a reminder, this conference is being recorded today, October 30, 2020 and will be available for telephone replay beginning at 1:00 P.M. Eastern Time today until 11:59 P.M. Eastern Time on November 5, 2020. It will also be available as an audio webcast on PSEG's corporate website at www.pseg.com.
Carlotta Chan: Thank you, Sylvia. Good morning and thank you for participating in our earnings call. PSEG's third quarter 2020 earnings release attachments and slides detailing operating results by company are posted on our website at investor.pseg.com and our 10-Q will be filed shortly. The earnings release and other matters discussed during today's call contain forward-looking statements and estimates that are subject to various risks and uncertainties. We will discuss non-GAAP operating earnings and non-GAAP adjusted EBITDA which differ from net income as reported in accordance with Generally Accepted Accounting Principles in the United States. We include reconciliations of our non-GAAP financial measures and a disclaimer regarding forward-looking statements on our IR website and in today's earnings materials. I'll now turn the call over to Ralph Izzo, Chairman, President and Chief Executive Officer of PSEG. Joining Ralph on today's call is Dan Cregg, Executive Vice President and Chief Financial Officer. At the conclusion of their remarks, there will be time for your questions. Ralph?
Ralph Izzo: Thank you, Carlotta and thank you all for joining us this morning. PSEG reported non-GAAP operating earnings for the third quarter of 2020 of $0.96 per share versus $0.98 per share in last year's third quarter. PSEG's GAAP results for the third quarter were $1.14 per share compared with $0.79 per share in the third quarter 2019. Our results for the third quarter bring non-GAAP operating earnings for the year-to-date to $2.78 per share, up 5.3% compared to the $2.64 per share in the first months of 2019. This performance reflects the strong contribution from our regulated operations at PSE&G, cost controls at both the utility and PSEG Power. Lower pension expense and the favorable settlement of tax audits I mentioned last quarter. We delivered a solid quarter of PSE&G and PSEG Power. We’re updating PSEG’s non-GAAP operating earnings guidance for 2020 to the range of $3.35 to $3.50 per share, which removed $0.05 per share from the lower end of our original guidance range. Last month the New Jersey Board of Public Utility, I’ll refer them to as the BPU approved the settlement as the energy efficiency component of our clean energy future filing. As you know, we proposed a comprehensive filing covering energy efficiency, energy cloud to analytic vehicles in storage in October of 2018 to help deliver on the goals of New Jersey’s clean energy act. The VP is in decision on energy efficiency will enable PSE&G to invest $1 billion over three years to help bring universal access to energy efficiency for all New Jersey customers. These programs will lower customer bills, shrink the carbon footprint and give them control over their energy resources.
Dan Cregg: Great. Thank you Ralph and good morning everybody. PSEG reported non-GAAP operating earnings for the third quarter of 2020 of $0.96 per share versus $0.98 per share in last year's third quarter. We provided you with information on slide 9 regarding contribution to non-GAAP operating earnings by business for the quarter and slide 10 contains a waterfall chart that takes you through the net changes quarter over quarter in non-GAAP operating earnings by major business and I will now review each company in more detail starting with PSE&G. PSE&G reported net income of $0.61 per share for the third quarter of 2020 compared with net income of $0.68 per share for the third quarter of 2019 as shown on slide 14. The utility's third quarter results reflected ongoing growth from our investment programs offset by certain items largely reflecting tax adjustments that are timing in nature. For the year-to-date period PSE&G results are on track to achieve our full year guidance driven by revenue growth from ongoing capital investment programs, lower pension expense and cost control. Investment and transmission adding $0.04 per share to third quarter net income. Electric margin was a penny per share favorable compared to the year earlier quarter driven by higher weather normalized residential volumes mostly offset by lower commercial and industrial demand. Summer 2020 weather was a penny per share ahead of weather experience in the third quarter of 2019. O&M expense was $0.03 unfavorable versus the third quarter of 2019 primarily reflecting our internal labor costs from tropical storm Isaias and timing of certain maintenance activities partly offset by the reversal of certain COVID-19 related costs recognized in prior quarters. In July the BPU authorized PSE&G to defer certain expenses incurred because of the COVID-19 pandemic. To reflect that order PSE&G deferred certain COVID-19 related O&M and gas bad debt expense previously recorded and established a corresponding regulatory asset of approximately $0.05 for future recovery. Largely offsetting this timing item PSE&G reversed a $0.04 accrual of revenue under the weather normalization clause for collection of lower gas margins resulting from warmer than normal winter earlier in the year due to recovery limitations under that clause's earnings test. Distribution related depreciation lower net income by a penny per share and non-operating pension expense was a penny per share favorable compared with last year's third quarter. 
Operator: Ladies and gentlemen we will now begin the question-and-answer session for members of the financial community.  Your first question comes from Jeremy Tonet from JP Morgan.
Jeremy Tonet: Good morning. 
Ralph Izzo: Good morning Jeremy.
Jeremy Tonet: Just want to start off with offshore wind if that's okay and just want to see as the recent or said commentary on seeing delays on some of their U.S. based onshore projects influence your thinking and your involvement here and do you have any thoughts on some of the feedback course that's received in New Jersey some negative feedback recently?
Ralph Izzo: So I think Jeremy that given the fact that this is an industry in its infancy candidly all of us expected there to be regulatory delays and the issue that I think you're referring to in the state of New Jersey was just over the extent to which offshore wind would help grow the economy and something as new as this the expectations for job growth versus the delivery of job growth and the pace of which is happening are not in complete alignment. But the direction is completely aligned. So the state remains committed to growing the industry. First it remains committed to supporting its project with the hiring practices that it put forth in its solicitation and I think it's just a case of people needing to talk to each other more often about how much and how fast but there is no dispute over what direction it's going.
Jeremy Tonet: Got it. That makes sense. So it sounds like this wouldn't influence your appetite for participating in future rounds of bids for offshore when like the one that's expected too? 
Ralph Izzo: No. That's correct. We've maintained that if we assume the 25% equity position we would only do so with the expectation of participating in future solicitation. We would not be particularly interested in knowing just the one-off project. 
Jeremy Tonet: Got it. Understood and just as switching gears here do you have any thoughts on the delayed BPU FRR evaluation here and do you have any thoughts on what some of the drivers of the delay could be and do you have any sense on how the FRR study could impact your ZEC application? 
Ralph Izzo: Well yes, this is I want to make sure everyone hears this clearly and quotes me and gets this back to the BPU I have to commend the BPU on the schedule they've maintained in what has been a very ambitious agenda. I mean when you think about all they've accomplished getting the first offshore  complete getting the second one out the door initiating the analysis of the FRR, really the critical period for New Jersey is that when the offshore wind projects go commercial in 2024 and that will be all one thousand megawatts that'll be a fraction of that to not have to pay twice for capacity. That PJM capacity auction is not likely to take place until at best late in 2021 probably in 2022. So to my knowledge the BPU process is really on the schedule that the staff laid out that sometimes the end of this year early next year they'll get their consultants report out and then they'll consider whether they need legislation. We don't think that they do but it depends on the design. So I'd say Jeremy that they're in pretty good shape to avoid this double capacity payment by the 2024 auction at this point. 
Jeremy Tonet: Got it. That is very helpful. I'll leave it there. Thanks. 
Operator: Your next question comes from the line of Julien Dumoulin-Smith from Bank of America. 
Julien Dumoulin-Smith: Hey good morning team. thanks or the time. Appreciate it. Hey good morning and thanks for the clarity there a second ago. Crystal clear. So I wanted to come back to this though how are you thinking about strategic decisions on the nuclear business as a sense today and I'd be curious if a sale or spin would be something that you would all would be amenable to and I'm sure you all are familiar with some of the media reports out there so just want to get ahead of that and try to see if that's a part of your considerations one way or another?
Ralph Izzo: So Julien, there were two reasons why we opted to simply focus on our non-nuclear assets. Number one was to further solidify what we believe to be a strong ESG position and secondly as you know we are in the process as Dan and I just discussed the filing for round two of the ZEC process and we didn't think it was fair to New Jersey or the BPU to undertake ZEC process and not know who the eventual owners of nuclear might be. So we're more than happy to own and operate nuclear plants if they are meeting the state's energy needs, if they are marching the state towards its carbon aspirations and this is a critical and third condition they are economically viable and those plants are not economically viable without the ZEC and in fact I can't go into details because the financials that we submitted are confidential but they actually are need of more than $10 dollars per megawatt hour. We were willing to operate them at $10 megawatt hour because we do think that the direction of public policy both in New Jersey and in the nation is the increased recognition of the importance of carbon-free energy to mitigate climate change and that value will eventually be more fully recognized. So in the absence of that payment then we wouldn't be able to operate those plans and that's an old story. That's been going on for at least three or four years now. I'm not familiar with any media reports you're referring to so I'm not going to be able to comment on that but I'm sure that there will be a constant attention to this regulatory process.
Julien Dumoulin-Smith: Got it. Okay. That's clear enough and just in terms of the disclosures that you're providing to the BPU there is obviously been a lot of discussion about transparency in the need for nuclear support across a variety of states. I'm sure you're aware. Can you talk about how this go around might differ from the last initial request for ZEC especially from a disclosure perspective and I understand it may not necessarily all be public either but I'm just curious if you can elaborate a little bit.
Ralph Izzo: Well, so as you know there's two main differences in round two versus round one and then I'll turn it over to Dan for a second. In round two we have the ability of the BPU to set a number between zero and ten whereas in round one it was either zero or ten. Also in round two there's a much more transparent public process that we think is great for everyone. There'll be a preliminary decision in December followed by evidentiary hearings response to the preliminary decision and the final decision in April. So I think that that's great because look those plants are necessary as we pointed out they save consumers almost $200 million a year 175 million a year over 10 years they eliminate 13 million tons of carbon a year. They provide employment for 1600 PSEG employees 5,000 employees in general but the reality is at the current advantages enjoyed by natural gas in the absence of a price on carbon and at the subsidized levels for renewables which are far above the cost of nuclear they're under tremendous economic disadvantages and you don't have to do a very sophisticated analysis. NEI published what the average cost is of operating a nuclear plant and it's about $30 per megawatt-hour and in fact if you look at what round-the-clock prices are doing and head capacity to it it's around $30 megawatt-hours. So unless you think that companies should invest over a billion dollars a year for zero return those plants are not reliable. And then of course the last attribute in addition to their carbon free energy is they are baseload workforces and despite our enthusiasm for wind and solar mother nature doesn't answer to us and the dispatch ability of those resources we all know screams for the need for battery storage or some storage mechanism and that just adds additional economic pain to customers above and beyond what they're already experiencing. So nuclear is a good slam dunk winner and I'm sure the regulatory process will bear that out. 
Dan Cregg: Yes Julien, I think Ralph said everything I would have said about it and just the about the process and how everything runs and the only other thing I would add is just as we go into this process we're in a more challenging price environment. So things have from the standpoint of the environment that the facilities are in from a market environment you've got to continue declining forward prices and incremental zero cost energy that's coming online. So it is more challenging economically than it's been in the past. So we'll go through the process that Ralph described in the next six months or so. 
Julien Dumoulin-Smith: Great. Excellent. Thank you. 
Operator: Your next question comes from  from Guggenheim Partners. 
Unidentified Analyst: Hi good morning. It's actually  stepping in. Thanks for the very comprehensive update and just wanted to kind of follow up on some of your thinking on the infrastructure programs and kind of the clean energy future programs just interpretive kind of longevity at the current CapEx levels how would those kind of programs help New Jersey reach the broader policy goal in the same line of thinking kind of how long the runway is going to speak for the infrastructure programs like the VSMP and so forth. 
Ralph Izzo: Good questions. Two are related but slightly different answers. On the kind of traditional infrastructure programs remember what we're doing there is we're not building new infrastructure to meet new demand which was the primary thesis for utilities for many, many decades in the better part of the entire 20th century. In our case we're having to replace an aging infrastructure not because of a growth in demand but because of a variety of factors including increased reliance upon electricity for our way of life and more extreme weather conditions driven by what we believe to be climate change others may choose that other beliefs. So that aging infrastructure replacement program is essentially perpetual because we cannot replace that aging infrastructure in just a few short years. It would just be prohibitively expensive. So you get in this position where as it was the case for our gas system modernization program even at the $400 million a year that we're currently spending we have another 20 years worth of work to do then and since we started that program 10 years ago we will then have our newest pipe be 30 years old and some of the pipe that's currently 50 years old will be 70 years old by that point and the same can be said about our transmission system and our substations. As you probably know we haven't even touched the last mile of our electric system. We have done this double digit or near double digit growth rate in our regulated utility focused primarily on cast iron gas main transmission and electric substations and now with the increased dependence of residential customers on reliability which we think will have a post-COVID permanency to it. We do things that increase reliability to the home that last mile is going to become increasingly important. So there is interest in New Jersey around helping the state recover from its current economic downturn by accelerating some of that infrastructure replacement work and doing more in the way of kind of stimulus activities because it is essential work. That could lead us to perhaps deviating at least in the short term from what is the one and only controlling limitation to the amount of investment that's required and that's the impact on the customer bill. As you may be aware we have steadfastly tried to pace ourselves so that our clause recovery and our formula rate treatment at FERC plus recovering the state now formula rate treatment at FERC allows us to make this infrastructure replacement yet allow the bill to kind of move up that CPI. A bill that by the way is 30% below where it was 10 years ago in nominal terms and 40% below where it was 10 years ago in real terms. So stimulus might allow us to break that rule a little bit and just recognizing that if you take customers utility bills from 3% of the disposable income to 3.06% of their disposable income that's a price worth paying to put people to work and make some major infrastructure improvements. Separate and apart from that though is the question you asked about the clean energy future and that's a different set of circumstances right. In our case where we're choosing focus is on energy efficiency which I call the quadruple winner. It is 8 million less tons of carbon emitted into the atmosphere so the environment loves it. There is lower bills for customers who participate and in fact there's a net savings to the whole customer base of $1 billion. So customers are smiling. There is over 4,000 jobs that we think we can create so the economy smiles and our shareholders are getting a 9.6% ROE with contemporaneous return on the investment and it's really it's just a phenomenal investment opportunity and opens up a whole new definition of rate base for us one that I am firmly convinced the state will be eager to continue beyond the three years of the program. In fact if you look at the $1 billion three-year grant that a lot of approval we received that's actually a faster run rate in the initial period than the 2.5 billion six-year program that we had originally proposed. Now that for the state's aspiration for other clean technologies such as offshore wind and solar that is a different story. That is far more expensive and that will have to rely upon the price curve coming down and technology bending that price down and the state pacing is appetite for that so as to not overburden the consumer but in terms of the areas that we're involved with I have a high degree of confidence that there's very strong support for continuing those. Sorry for the long answer.
Unidentified Analyst: That's definitely well appreciated. Jumping again to follow up a little bit on kind of the fossil asset sales kind of process and some of the thoughts around it I mean it's obviously a pretty good set of assets in the market and there's kind of the equity part of the price tag is definitely going to be sidewall just kind of given the fact that there's not much leverage on the business. Curious to get some of your thoughts on like capital recycling and kind of what the priority would be for reinvestment buybacks and kind of how to keep it all efficient. 
Ralph Izzo: Yes. So it's a great question and you're right if you take a look at power it is not very heavily levered. There is about $2.4 billion right now debt outstanding and by the time we get to the end of a potential transaction you would see about a billion that would be redeemed at that point. So about a billion four and agree your commentary if you think about the quality of the assets that we're talking about that would provide some more than sufficient capital one would think to take care of that debt. So yes you would think about the repayment of that debt mean first and foremost you would think about having excess capital and I would say really general corporate purposes is what is normally conveyed and I think that's the right conveyance here. I think that we've talked about an existing capital program that's in place. We talked about the potential for some incremental capital identification. We have always gone through our five-year plan with a declining capital forecast and by the time we get to the end of that five years there's other opportunities that we've seen on the other side and whether some of that could be something from a stimulus perspective coming out of this economic impacts that we've seen from COVID this is to be seen. So I think the continued deployment of capital into the utility is the first place that we would look to and then to the extent there's excess we would weigh that against incremental potential opportunities for capital as well as some kind of a return to the extent that those opportunities didn't exist from it could be dividends could be buybacks so not out of the question but certainly not first and foremost on the list. 
Unidentified Analyst: Thanks.
Operator: Your next question comes from the line of Durgesh Chopra from Evercore.
Durgesh Chopra: Hey good morning team. Thank you for taking my question. Ralph can I just go back to the -- I want to understand, make sure I understand the conservation efficiency program. What is the Intel? Does that protect you from going forward from like lost revenues from storms whether something like COVID? Can you just talk through that and then second like is this a pilot program where you have to make a filing every other year or things like that or this basically a permanent thing at this point? 
Ralph Izzo: Well, Dan will answer the question about how often to make the filing but I do know that whenever we file we get we don't suffer any lag associated with that but I forget it for six or twelve months. What I was referring to and hopefully I'm answering your question if not just nudge me back in the right direction is look the city of New York as an example we have a dual 26KV distribution loops into the city because we have commercial centers that have thousands of employees who come here every day and expect the lights to be on, the air conditioning to run and the computer systems to operate. They are not here now. There is four of us in the office today and most of our employees are working from home. Well the level of reliability they have in their homes is quite different than the level of reliability that we have feeding this building and it's not because it's the PSEG building that's just typical of businesses in New York area. So if now the home is going to become the place where not only you eat and sleep but you work, you fill up your gas tank so to speak. You energize your vehicle. You charge all of your information tools; your phone, your computers that grid is not prepared to deliver the kind of reliability that people will expect when another Isaias hits or another super storm Sandy or just the typical northeast thunderstorm. So the investment in the last mile what I'm talking about there is the overhead system will need to be made if the economy is not to come to a grinding halt during your fairly routine storm events that we have nowadays and I'm not calling Sandy a routine event but as we've seen in some parts of the country whether it's what's going on in the gulf or what we have had in the past in the northeast we are getting more intense weather events and you can't have people who just stop work for three to five days if they have that weather event when they're working from home. So that's what I was referring to and I think policymakers are really plugging into that. Now we will benefit from AMI and our ability to identify outages at the individual customer location and regrettably New Jersey does not have that capability now but I do believe our BPU commissioners understand the importance of that and I'm hopeful and optimistic we can resolve that in just a few short months but Dan did you want to talk a little bit about how we file for the same? 
Dan Cregg: Yes. So if you think about what New Jersey is trying to get at from an energy efficiency program standpoint it is a step change from where we have been historically and I think it will it literally will catapult the state to among the best in the country with respect to energy efficiency programs and so if you think about a program of that magnitude it's important from the utility perspective as it pursues that that there is some kind of a form of lost revenue recovery and that's what was in the filing has been a topic of the discussion that we have gone through as we've gone through the process and where we ended up was really borrowing from something that the gas utilities largely had in place historically and that's the CIP, the conservation center program. So it is we talked about a little bit in our prepared remarks it is an annual filing it would begin into 2021 if you think about let the program get up and running as we implement the lost revenue recovery for the program that we're talking about and so it would start June for the electric side of the business and October for the gas side of the business you think about the seasonality of those businesses it's a very logical way to do it and it will be an annual filing. It is not a lag oriented filing. Basically it's going to cover the changes from the baseline year that you have I think the way to think about that is the last ray case from the usage perspective and will essentially be put in place to be able to recover the shortfalls or provide the excess back to basically bring back to a more stable rather than stream. So I think it's a great solution for the challenge that would come about by virtue of loss revenues through an energy efficiency program. So I think we ended up in a very good place there.
Durgesh Chopra: Thanks there Dan. I just want to be clear does that only cover loss revenues from efficiency programs or does it cover loss revenues from weather related changes or perhaps loss revenues from storms and other events? 
Dan Cregg: Yes it is more broad than the energy efficiency. So it's going to cover broader loss revenues in fact if you think about our gas, weather normalization clause that will essentially be suspended against the backdrop of this. This will kind of supersede that. It's broader. 
Durgesh Chopra: Excellent. That's super constructive. Then maybe just a quick follow-up on the fossil transactions. Does the and I appreciate you launched the process here last quarter knowing the elections around the corner but does the potential tax rate change impact you're thinking at all does it matter for that transaction for the non-nuclear potential sale transaction? 
Dan Cregg: Yes I mean look obviously it will have an impact on the dollars that flow out of what happens but it will not change the bottom line intent and nature of where we are headed. I think that's the simplest way to say. 
Durgesh Chopra: Thanks guys. I appreciate the time. 
Ralph Izzo: Absolutely. Thank you. 
Operator: Your next question comes from  from Morgan Stanley. 
Unidentified Analyst: Hey good morning. Thanks for taking my question. 
Ralph Izzo: Hi David. 
Unidentified Analyst: Could you give an update a status update on the transmission are we discussion that's going on with the BPU? 
Ralph Izzo: Yes. David unfortunately can't say much more than what we did in our initial remarks because they are confidential. I do think that there is still a lot of good will and good intent on the part of all parties. So it's a three-person conversation. It's us, the BPU and the consumer advocate, the ratepayer advocate and clearly what motivates our colleagues in the BPU and the ratepayer advocate is providing immediate relief to New Jersey consumers in the form of lower rates in particular exacerbated by COVID-19 challenges. What motivates us is removing some uncertainty over where things could end up if we went to FERC but and we've closed a significant difference in points of view from when we first started talking but there still is a small gap between us. Whether or not we can resolve that I really do I remain hopeful but I can't say for sure that we will. So we're still talking to each other and I think that's a positive thing and the gap is small that's a positive thing but it's not done and I don't want to violate the confidentiality of it by saying anymore.
Unidentified Analyst: Understood. Thanks for that update and I was just curious if you could touch on the gas utility side of the business your thoughts in the long term maybe vision for that business and how you're thinking about it in the context of on your side taking an EG step in the sale of some of the merchant assets and then also in the context of the state moving aggressively over time to reduce its gas consumption. 
Ralph Izzo: Yes. So this is one we get this question quite a bit I got to tell you I respect everybody's right to ask the question but of the ten things that keep me awake at night this one's like number 100. We've the state under one of the greenest governors in the nation is asking us to spend more money on the gas distribution system largely to eliminate the methane leakage that results from an age system and as you know if you look at the 100 year effect of methane versus carbon dioxide it's about 28 times bigger methane being 28 times bigger than carbon dioxide. So there is definitely a commitment towards preserving the existing infrastructure as it relates to natural gas. Also I would point out that over 90% of the homes in New Jersey cook and heat their homes with natural gas and for them to change that would cost on average $10,000 and that's for a bunch of homes that not that long ago moved from oil because of energy security concerns and pollution concerns. So that's not exactly something that anyone is going to tackle in the near term plus I'm a firm believer someone who is adamant that we need to be far more aggressive on climate change as a nation that the consumer dividend associated with relatively clean fuel like natural gas really does motivate the nation to do something about carbon capturing storage. But to walk away from this resource which doesn't have any SO2, doesn't have any mercury, doesn't have any fine particles and has it's related impacts relatively well controlled just begs for carbon capturing storage solutions. So I don't think you are going to see a lot of new pipeline construction. You are obviously going to see a lot of gas plants still but I don't think you are going to see people heating their homes and cooking with the natural gas for many, many years to come. And last but not least if you think about the fact that when we, that we still have largely 75% fossil fuel driven electric system in the nation and then New Jersey is part of the PJM with a large fossil fuel component is taking that fossil fuel wasting two thirds of its energy content, converting the other one third into electricity and then using that one third to then heat home and cook is just really bad use of the environmental dollar. That two third that is wasted is referred to as waste heat and if you didn't waste it by converting it into electricity you simply converted it directly into hot water in home and hot air in home you have captured a lot more of the energy content. So it's just -- I suspect over the long term  as we do better job developing carbon capturing storage.
Unidentified Analyst: Great. Thanks so much.
Operator: Your next question comes from the line of Michael Lapides from Goldman Sachs.
Michael Lapides: Hey guys first of all congrats on a good quarter. Second two questions. One is New Jersey specific and trying to think about what has to happen to have a more significant extent expansion of batteries or storage in New Jersey is it a price point question meaning a cost question? Is it a kind of a market design or a regulatory design and construct question? Would love your thoughts Ralph. 
Ralph Izzo: I just think it's a question of how much is on the plate right now Michael I mean the state has in its clean energy act passed in May of 18 financial law in May of 18 a 600 megawatt goal for battery storage next year I guess I think it's by the end of the year and of course we're nowhere near that but when you're spending $98 and $0.10 for offshore wind when your solar renewable energy credits at $220 and your transition program for solar renewable energy is that I think 150 or 175 per megawatt hour there's just so much you're willing to put on the customer's plate. So battery storage has gotten the sort of lower priority with some of the kind of core thing further along in and I mentioned one of them before AMI is something that is just screaming to be implemented not only because of the operational benefits it provides but because of the consumer benefits it provides in terms of helping the customer understand where they are in their bills during a month as opposed to waiting to the end of the month what it might mean for us in terms of more granular data and being able to do energy efficiency in ways we never did before. So I just think that battery storage is falling victim to some other priorities. 
Michael Lapides: Got it. And then one other Ralph with the election next week obviously one of the candidates has been very open about talking about higher corporate income tax rates. How do you think about what that means not just for PSEG especially as you become less focused on the non-regulated business but also what it means for the customer on the customer bill and the pace of change in that bill? 
Ralph Izzo: Well, as you know the regulated business historically has been able to test through taxes and higher taxes will result in a greater bill impact to be sure but I think that that that's we're getting kind of far ahead of ourselves in that regard and I don't want I certainly don't want to be one to predict with what might or might not happen on Tuesday. So Dan I don't know if you have any comments on that but I'm getting all sorts of hand signals from our folks here that we've gone passed out a lot of time and folks may have other commitments that they need to do with, but so Dan do you want to? 
Dan Cregg: Yes Michael, like I would just say look the first thing that that needs to happen is it needs to get enacted and so it'll take some time for that to happen and then when it does as Ralph says yes the kind of the statutory rate will pass through on a normal basis but you'll also have right now what you're seeing is the flow back of excess deferred go back and there's some restrictions on what can happen for certain of those excess deferred taxes and there's flexibility on others of those deferred taxes. So that's I think the other part of it. The other thing I would say is that it's very simple to think about a change in tax regime as being the corporate tax rate changes by X percent underlying that there's usually a whole host of other changes and those things can have pretty considerable impacts from a cash perspective positive or negative. So both to the company and to the customer. So the devil's in the details and there's usually a lot of details beyond just that headline rate that can have impacts up and down to both sides of the equation. 
Michael Lapides: Got it. Thank you. Much appreciate it guys. 
Dan Cregg: Thanks Michael.
A - Ralph Izzo: I think we are going to close right now and I would be remiss if I didn't simply say thank you to all of you for joining us and extending my sincere hope that all of you are safe and your families and friends are safe and healthy and free of this dreaded virus and its impacts and also to say to each of you that know of someone or have any kind of relationship with someone who's on the front line as a health care provider assisting with this clear second wave and spike in this virus to extend our thanks as a company to those individuals who are doing that whether that's in our operating region or elsewhere and I know that we thank our employees every day for providing the services that enable those frontline workers to do their job. I suspect we'll see many of you in a couple weeks at EEI virtually. Be safe on Halloween. Protect your kids. Wear your mask, wash your hands, and keep safe distance and thanks again. See you soon folks.
A - Dan Cregg: Thanks everybody. 
A - Ralph Izzo: Thank you. 
Operator: Ladies and gentlemen this does conclude today's conference. We thank you for your participation. You may now disconnect.